Unidentified Company Representative: Hello, and good afternoon, ladies and gentlemen. Let me welcome you to the Presentation of the Results of the Komercní banka for the Full Year and the Fourth Quarter of 2023. It is 8th of February. Our speakers today will be Jan Juchelka, Chairman of the Board and CEO of Komercní banka; followed by Jiri Sperl, Chief Financial Officer; and Didier Colin, Chief Risk Officer. We also have with us, standing by for questions, Miroslav Hirsl, Head of Retail Banking; David Formanek, Head of Corporate and Investment Banking; and Margus Simson, Chief Digitalization Officer. As usually, we will begin with the presentation of results, which will be then followed by a question-and-answer session. During the presentation part, all participants will be on listen-only mode. Please kindly keep your microphones muted during that time. That’s it from me for now and I would like to hand over to the CEO, Jan Juchelka. Thank you.
Jan Juchelka: All right. Thank you very much everyone for being with us. It’s our special occasion to share with you this special moment of the presentation of the fourth quarter of 2023 and the entire year of 2023. We appreciate very much the number of you who decided to share your time with us. Let me…
Operator: [Operator Instructions]
Jan Juchelka: …snapshot of the overall performance. KB remained very resilient, very strong. In fact, in this type of plationary economy, as it was framed in Czech Republic for 2023. We achieved stronger than expected for quarter and we will come back to it in more detail with Jiri Sperl and with Didier Colin, mainly for the financial operations, our market activities. The full year has totaled the net income at the level of CZK15.6 billion, which is down by 11.4% on a year-over-year basis, that represents CZK82.66 per share. The ROE on standalone basis is close 13% and cost to income ratio at pretty sympathetic 47.8% when we take into account the level of accumulated inflation in 2023. The fourth quarter overshooted the ROE above 10% and cost to income was at the level of 46.8%. Why was it so or what were the main engines here? The first one, financing. Komercní was all over the place with supporting Czech economy on the side of corporate clients, as well as the retail clients. In total, we grew our loan book by 5.5% and I will come to the composition between the retail and corporate. Deposits went up by 9.7%. Again, money moving more from current accounts into saving accounts and term deposits, but also pretty solid or not pretty solid, more than solid results for the assets under management outside the bank. Speaking about debt, in average, it was plus 16% on year-over-year comparison. When we pay -- when we take only the mutual funds, it went up by 34%. Loan-to-deposits ratio in that context remained at very high, 82.8%. The bank remains very strong on its liquidity equipment by almost 150% with the liquidity coverage ratio. The total capital ratio was close to 19%. Core Tier 1 17.7. In 2023, we ended at zero basis points on cost of risk. Based on that, the Management Board, the Board of Directors is advising the shareholders to pay the entire net profits in the form of dividends to the shareholders, which represents the entire net profit at CZK82.66 per share. At the current state, we believe that for 2024, we’ll be able also to distribute 100% of net profit for the ongoing year. I’m sure we will come back to it either in the presentation or during Q&As. Let’s move to the next page. The macroeconomic environment was pretty challenging here in Czech Republic. Very mediocre step up for fourth quarter by 0.2% on GDP growth, a year-over-year, that was minus 0.2%. Economic activity was supported by foreign demand and by the household consumption. We believe that for 2024, the household consumption will be one of the main drivers of growth in this year. The labor market remained very dried up. Unemployment rate at 2.4% in November, 2023. This is self-explanatory. Wages in Q3 2023 went up by 7.1% on nominal, which represented when taking into context the inflation rate, the real drop in wages by 0.8%. Consumer price inflation almost 7% in December, mainly due to housing, water, electricity, gas and other fuels. As of 29th of December, Czech Koruna was at the level of CZK24.7 per €1, and over time, it’s further weakening. Czech National Bank’s main policy rate was cut from 7% to 6.75%. We have been waiting now for the result of today’s session of the Board of the Czech National Bank. Next slide, please. How did we do in this context? The grow -- the loans grew up by 5.5%. We saw the demand for mortgages and housing loans bouncing back. Compared with very, very weak fourth quarter of 2022, we went up by 120.5%. I like more in this context the short-term increases Q3 versus Q4, or Q4 versus Q3 was plus 19.7%. Group lending at the level of the main segment, business loans grew up by 6.4%, 6.9% was for consumer loans and I have already commented these housing loans in total. They go to the market either from KB or from Modrá Pyramida building saving company. The business loans went mainly for the larger corporates by almost 7%. We have recorded very nice commercial results and business results for -- to get the leasing solutions by almost 9%, whereas for the small companies and small businesses, it was a mediocre growth of 1.6%. We can maybe go to the next page and showing you that KB for fourth quarter and second half of 2023 was all over the place with supporting the economy wherever it was needed and necessary with pretty landmark solutions and landmark financing for the corporate clientele. Here, we are listing both the public sector, as well as the private sector across the segments and a combination of Czech Koruna financing with Euro financing, either local investments or companies or clients expanding to foreign countries. Next point -- next page, please. So, the client’s deposits, almost 10% growth. Inside this growth, what is happening is, there is a pretty large shift from the current accounts to term accounts and saving -- term deposit and saving accounts. That’s visible from the right-hand side, the lower graph. When we speak about, let’s say, strong growth of deposits, we speak also about businesses. Here for businesses, obviously, we are asking the question whether there are not some investments postponed to the era of lower rates and probably, yes. Nonetheless, it creates another, let’s say, positive income for future potential growth of the country. What we like a lot is the category for assets under management outside the bank. Almost 34% of growth of R&D solutions [ph] and solution of the private banking combined with 1% growth of the life insurance reserves and amended by 1.5% of the pension schemes gives us 16% growth in this category of assets, which is also another source of fees and commissions growth for the Group. Next page. Next page goes already to Jiri Sperl, the CFO. Thank you.
Jiri Sperl: Thank you, Jan. Good afternoon, everyone. It’s my pleasure to shed some light on the financial performance of KB in 2023. On upper left chart, you can see the main drivers. So year-on-year, it basically negatively contributed only NII -- by NII and OpEx. NII mainly due to the increased cost of funds, OpEx due to still high inflation. On the other hand, other revenue categories, cost of risk and tax contributed positively. I will comment on that a bit later. The right upper chart is describing a quarterly evolution. It’s visible that Q4 last year’s net profit declined relatively significantly by roughly CZK1 billion. The main reason behind is the cost of risk influenced by one isolated case in corporate segment. No doubt Didier is going to comment on that in deeper details. Still, the bank is delivering a very strong indicator as shown on the left bottom part. Jan was mentioning before ROE, so here to mention at least ROTE, which is a level of 15 -- 14.2%. Let’s move to the balance sheet, please. It was growing very dynamically last year, up 16.2%. On the liability side, the main drivers naturally are deposits growing by 18.6%. The difference is here due to the fact that it does include repo operations. What was also growing was kind of capital instruments, which is -- which are shown in the brown column in the chart, growing by strong CZK26 billion, driven mainly by MREL instruments. These new fresh resources have been placed mainly to the loans and the remaining surplus preferably to these repo loans with CNB, as shown on the chart, it’s a red color. Let’s move to the next page, please. Interest income, year-on-year, went significantly down, as shown on the right-hand upper part, by 10.6%. The main reason here is basically the same, I was commenting already last quarter, so only briefly. In 2022, we were still benefiting from the rising interest rates cycle and the link of our up pricing of deposits. Of course, we don’t benefit from that anymore. The rates are basically stable and even CNB started a cycle of the declining, of the cutting of the interest rates. At the same time, we are fully competitive in terms of pricing of deposits at least compared to the Tier 1 bank. Having said this, this on one hand side stopped the trend of declining and it’s confirmed by the dynamic growth. At the same time, of course, naturally, it increased our cost of funds. In terms of NIM, the left upper part, there is a slight decline quarter-over-quarter by 2 basis points, which is a bit worse than we were expecting. On a year-on-year basis, there is a decline of around 48 basis points, so relatively significant. That was year-on-year perspective, from a quarter-over-quarter perspective, that’s right bottom chart, there is a slight decline, roughly CZK230 million. That is very clearly influenced by the cancellation of the obligatory reserves, as already indicated three months ago. The impact, just to remind, was around CZK350 million. If you put this aside, the trend of the growing of net interest income would continue. Trend in net interest income from the loans remains the same, i.e., slightly down. That’s the blue part of the chart and the main reason here is also the same. So it’s continuing a kind of slight erosion on the spread and I can say that with the exception of mortgage loans, because currently we are selling mortgage loans much more expensive than before. So let’s move to the fees and commissions, please. There is a solid growth at the level of 5% year-on-year, i.e., in line with the guidance and the strategy. The biggest driver of the growth are gross selling fees, growing by double-digit, 11%, following strong sales of assets under management, as was commented by Jan before Other fees categories are growing, let’s say, low-to-mid single-digit and I can say that also in line with the expectation. One comment more a bit methodological is that the significant quarterly growth and that’s right the bottom part of the slide is kind of seasonal nature Q4 is always stronger as could also be seen at the end of 2022 in the same chart, which is bringing me to the income from the financial operations. The bank reported another, I would say, super strong quarter almost CZK1 billion, positively influenced mainly by the capital markets activities and this was basically influenced very much by the increased volatility on the markets during Q2 -- Q3 and also accelerated demand of the clients for the hedging solutions in Q4 and mainly on FX side. In terms of net gains on FX from payments, I would say, it was a kind of average quarter, reflecting kind of seasonality of traveling and transactions activity. Costs OpEx growing at 8.2%, so we were getting high-single digits, so also I would say, in line with the expectations. It’s relatively high figure on the other hand, but still very below the inflation. Just to remind the average inflation in the Czech Republic for 2023 was double-digit, it was 10.7%, and of course, it was influenced mainly by personal costs, plus 8% reflecting the increase of these rates and also GAE and depreciation reflecting still high, and of course, let’s not forget transformation of costs. Cost to income ratio left bottom chart landed at 47.8% on year-to-date basis. That’s for the time being all from my side and passing words to Didier, please.
Didier Colin: Thank you, Jiri. Good afternoon to all of you. I will briefly comment on the asset quality for the fourth quarter of last year. Starting as usual with a brief info on the evolution of our default rate not disclosed on the slide but always interesting to keep in mind. In the fourth quarter we continue to witness a level of default rate for mortgage and the corporate loan portfolios at our near historical lows, while on the other hand for the much smaller consumer loan and small business loan portfolios we continue to record some mild increase in the level of those default rates. For those two portfolios levels now slightly above the ones recorded in the pre-COVID period, i.e., 2019. That’s for the default rate. Now looking at the portfolio classification using the S1, S2, S3 asset classes. There are basically three interesting comments to make. The first one is in continuation with the recent past and in terms of a continued very low migration dynamics for both the retail and non-retail segments between the S1 and S2. Basically what we’ve seen in the fourth quarter is this migration from S1 to S2 and vice versa from S2 to S1 in a low range of slightly below CZK15 billion, same magnitude in both ways, so netting down to a zero impact on the portfolio structure. So this is a good element that we’ve managed to keep. The second one is that we had to perform some technical adjustments on the IFRS 9 classification methodology as required by the Czech National Bank and this explains why you see 15 -- more or less CZK15 billion increase from Q3 to Q4. Again, this is a technical adjustment that has no connection with any evolution of our credit risk profile and we also performed some mandatory annual recalibration of our provisioning model, which also explains a little bit this increase, but again, of a technical nature, and as requested by the Czech regulator. And the last point regarding our classification, which is hardly visible on the slide, but what to be mentioned is that, at the end of last year, we performed a write-off campaign for our corporate exposure, we are near fully provisioned and this is the reason why you see the NPL section going down from Q3 to Q4. So those elements explain the evolution of the S2 ratio, which went up by 2 percentage points from Q3 to Q4. Q4 being posted near 15%. It also explains the evolution of the S3 or NPL ratio, which went below 2% for the first time ever and the provision coverage ratio for the defaulted exposure as a result of this write-off campaign went a little bit below the level of 50% that we had recorded for the past five quarters or six quarters. Now, going to the next slide that gives you the overview on our cost of risk. As you heard, we recorded a level of net cost of risk for the first quarter, slightly above CZK1 billion and the underlying of this fourth quarter cost of risk has three components. One, which is a material provision to cover one isolated corporate client situation. That’s the first and the most material element. The second one is the residual impact coming from the higher default rate in the retail segment. But as I said, of a residual intensity and related to the consumer loan and the small business loan portfolios. And the third one is zero impact, which was generated by what I mentioned earlier, which are the technical and regulatory adjustments in the area of IFRS 9 models and methodology. In fact, we had for the corporate segments, a reversal in the range of slightly above CZK100 million, and for the retail segment, a small creation of slightly above CZK100 million. So, the two netting down to a level of zero. One last point, which is related to the inflation reserve that we had booked a couple of years ago. We’ve decided, in fact, to keep those reserves untouched. This decision being, in fact, to be understood as a prevalent one in our current macroeconomic environment. So, this explains why taking the view of the full year for the cost of risk, we net down to a level of zero, which is, in fact, very much in line with our previous guidance as communicated to you in November last year. This zero basis point cost of risk level for the full year, in fact, has a rather contrasted structure. But nothing that should be surprising, as this structure developed in this way through the recent quarters. And so, this zero bps is made of net reversal impact of 17 bps generated by the excellent level of our recovery performance on the defaulted corporate exposure. Going the other way, we generated 4 basis points from our defaulted retail exposures whose default rate and recovery performance level are now a little bit under pressure after the three or four last years of turbulence, being COVID and inflation. We booked 9 bps on our performing corporate exposure and this is the point I just mentioned earlier, very much concentrated on very few corporate client situations. And the last element is 4 bps which we booked on our retail performing exposure, again, reflecting the impact of those three, four past years of market condition putting our retail segment a little bit under higher pressure, as well as these IFRS 9 technical adjustments that, in fact, were a little bit taking a more prudent approach. So, this is for the full year view of our zero cost of risk and its structure. And the last comment I would like to make before handing over to Jiri is the first guidance we issued for the cost of risk in 2024 and so we issue it slightly below the level of 20 basis points. So this level is, as you have seen, below our through the cycle cost of risk level, which is in the range of 20 basis points to 30 basis points and the reason why this -- we have this gap between our through the cycle and the 2024 guidance is essentially driven by two factors. The first one is that we’ve taken a 12-month default rate assumption across all portfolios at a higher level in 2024 compared to the level we recorded in 2023. And the second element is that we expect in 2024 to witness a much lower level of net recoveries from our corporate NPL portfolio, as I probably mentioned to you in the recent quarters and this gives you the two main reasons why we have this gap between our through the cycle cost of risk forecast and the guidance for 2024. And now I’m going to hand over back to you, Jiri.
Jiri Sperl: Thank you, Didier. Well, finally, the capital management and the outlook. So, let’s start with the dividends. So, KB, the Board of Directors, proposes payment of dividends in the volume of CZK15.7 billion, which represents 100% of shares on 2023 profits. From our perspective, the proposal is in line with the long-term capital management and provides shareholders with a fair share of the profits. Just to remind, as of January the 1st, the minimum requirement for KB stands at CZK17.1 billion, while the capital adequacy, even after adjusting by 100% of the dividend payout, is at a level of CZK18.8 billion, i.e., still in the upper part of the capital management buffer, just to remind, 50 basis points to 200 basis points. That’s for 2023. For 2024, the BoD sets the dividend policy also at 100%. So, during 2024, we are not going to incorporate any part of the profit generated in 2024. Let’s move, please, to the next slide, which is kind of standard, focusing on the capital position and the evolution throughout the year. Once again, all these figures do include already assumed increased dividends. The year-on-year evolution is visualized at the right bottom chart. So, capital adequacy went down by 67 bps, but again, still safely in upper part of the management buffer. So, the biggest impact is, of course, coming from the proposed dividend, which is offsetting fully the profit generated during the last year. Two last comments on this slide. First one related to Tier 2. So, probably, you noticed during the Q4, we issued another tranche of subordinated debt worth roughly €100 million. So, as of now, sub-debt Tier 2 is covering roughly 1.1% of risk-weighted assets, while the space allowed by the regulation is up to 2.7%. So, there is still a very good space for whatever surprises or just optimizations. And the last point is related to the MREL. So, we completed the issuance program right to the 2024 and in the whole year issued €2.4 billion of senior non-preferred escrows, that’s intra-group transaction as KB is running on the SD team [ph]. For 2024, we also are planning to continue as the balance sheet risk-weighted assets are growing, but it should be only one tranche on top of my head, where it’s roughly €100 million. So, it’s already rather limited. And outlook, please. Yes. In terms of macroeconomic, Jan, was partially touching that, so it is expected that macro, the GDP, is going to rear the trend. Last year, it was still a bit declining. For 2024, we are expecting a slight growth above 0.8%. At the same time, we are expecting rapid disinflation to continue. But the average inflation will be still above 2 percentage points target. And in terms of monetary policy, our macroeconomists are suggesting that at the end of the year, 2024, the repo and key policy rates will be at the level of 4%. In terms of the banking market outlook, just briefly, the overall expectation is that it’s going to grow both loans and deposits mid-single-digit. And in terms of our KB’s position on that market, we are expecting actually comparable growth, i.e., mid-single-digit, both loans and deposits. But at the same time, you would like to add a bit, at least a bit, on top of the market growth, i.e., to gain a bit market share. So, this should come mainly from retail, both on loans era and deposits era, and thus to somehow monetize the investments, heavy investments into the retail transformation, which is basically overcurrent. We are in the phase of the migration of the clients from the old world to the new one. And finally, KB financial outlook. So, revenues, we are getting low-to-mid single digits compared to 2023, and basically, it is expected that all of the categories or key categories of revenues should contribute positively, and also, it’s going to be supported more by volumes than spreads. OpEx should grow slow -- more slowly than the revenues. So, we are getting low single digits. So, the ambition is to generate positive jobs and the reasons basically are continuing optimization of operations and what will contribute also positively, and you are guiding that already three months ago is lower contribution of resolution and deposit insurance fund. I can skip a risk -- cost of risk or a risk profile and finalize, conclude with the potential risks to the outlook, but again, there are -- none of them are new. So it’s very much about the federal situation of war in Ukraine. And again, this year has some, let say, global aspects potentially related to several elections, which are in front of us, and of course, could hit economists like Czech Republic. So I think that’s all on the presentation and I’m returning to [inaudible].
A - Unidentified Company Representative: Thank you very much, ladies and gentlemen. So this has concluded the presentation part of this meeting. Now we will be happy to answer your questions. Let me remind you that the meeting is being recorded. If you have a question, you can click on the icon with raised hand at the upper part of your screen and then please wait to be called. If you are connected to a telephone, please wait until I call you in the later stage. So first question is coming from the line of Robert Prozac from Bank [inaudible]. Robert, please go ahead.
Unidentified Analyst: Good afternoon, everyone. Congratulations on the results and on the dividend hike. I have one question on the part of presentation, which actually you did show a quarter ago. This was about financial targets for 2025, namely the cost to income ratio of 40% that you envisaged for the year 2025. So as we are approaching the year 2025 and we are still above that target and I believe so far it doesn’t look like a huge acceleration on the revenue side. I’m curious if you can give us more clarity on the OpEx performance, because 2024 is of course helped by the decreasing regulatory costs, but which categories of costs may help you to achieve your 40% cost to income ratio in 25 years?
Jiri Sperl: I will take the question. Thank you. Thank you for it. Well, first to say that, we are basically commenting on this during Q3 result presentation. That -- what we said was that we are sticking to the target, i.e., to be as a cost to income ratio around 40% first. Second, what we said was that, in terms of OpEx, it will be at the level of OpEx of 2023, and the improvement of cost to income should come from both parts of this ratio. Revenues here, we are expecting strong accelerations of these revenues in 2025, given the fact that in 2024, we are going to acquire a lot of new clients, and of course, these new clients are generating new profitability. So that’s the main driver on the revenue side. On the cost side, I was already guiding the level at the end of 2025 and there are basically two main reasons why we believe it will be so low. And first one is, the fact that we are targeting a decline of the number of the FTEs in line with our strategy. So by the end of 2025, the number of the FTEs should decline by 25% compared to the end of 2019. So, i.e. to land at 5 point -- 5,000 at KB solo level. This is first reason. And the other reason is that, the resolution fund will be completely full in 2024. So it will also help us to cut the costs. The last point related to the costs is that, at that time we will be able already to decommission some part of the older, which normally should contribute to the cost side positively as well. So that was all the main drivers to 2025.
Unidentified Analyst: Thank you very much.
Jan Juchelka: Sorry, can I add one or two points here? In no scenario, we were like, we were trying to optimize the capital structure in order to achieve this cost to income ratio. Let me remind that we have put this 40% cost to income as one of the main indicators of our success back in 2020, before the COVID times, before the war in Ukraine and we have not had any magic tools for provisioning all these structural elements. What we see today or what we have seen over 2023 is that, our ability to create new capital, combined with very strong and very conservative capital management, our very conservative approach to liquidity management and in the frame of keeping the bank in the upper part of the management buffer above the minimum capital requirements set by the Central Bank will allow us to go for this 100% distribution. And no discussion, we had some optimizing debates or optimizing considerations in mind. Let’s make it clear. I wanted to thank, easy to make sort of exhaustive technical explanation. I would like to amend just these few words. Thank you.
Unidentified Company Representative: Thank you. [Operator Instructions] I hope there are no technical difficulties. So Rob is asking another one. Please go ahead.
Unidentified Analyst: Hello again. I’ll use this opportunity if there are no further questions to dwell a bit more on the capital distribution strategy. I’m basically wondering, do you think that post-2024, you could maintain 100% payout policy? And if so, on what conditions? What’s the delivery of -- I mean -- what I mean is the 40% cost to income ratio, I find it still a bit ambitious. And if you fall short of that target, would it imply some reversal to the 75%, 80% payout range or would you rather be willing to keep up 100% payout? Thank you.
Jan Juchelka: Let me repeat again, we are not in the position to give you more than one-year guidance, so 2024 is the only year we are able to comment. Second, we are not distributing the capital just for the sake of achieving 40% of the cost to income. That’s probably the last, if any, of the motivations. You should take it as an exceptional distribution of dividends for 2023, subject to shareholders meeting approval. For 2024, we are obviously accruing for 100%. We are not saying we will pay out 100%, because we will have plenty -- we might have plenty of challenges over the year. One never knows, with all these challenges from macroeconomic and from geopolitical situation, but we do advise to keep the pace for 100% for 2024. Going beyond 2024 and speaking now under the control of Jiri Sperl, I would rather say that, we will strongly consider to go back to our traditional projects or projections of going back to 65% of net profit, but it’s subject to our internal scrutiny, scrutiny of the markets and scrutiny of the performance of the bank.
Unidentified Analyst: All clear. Thank you.
Unidentified Company Representative: Thank you. So our next question comes from the line of Mehmet Sevim from JPMorgan. Please, Mehmet, go ahead.
Mehmet Sevim: Good afternoon. Thanks very much for the presentation and all the comments. I have just one question on the deposit base, which tends to be usually quite weak in the fourth quarter, but that wasn’t really the case this quarter and there was this big jump in the current accounts, particularly. Would you be able to comment on this? Are you seeing actually -- haven’t you done the classic optimization this quarter? Are you seeing actually some significant inflows again, particularly into current accounts after what we’ve seen in recent quarters?
Jiri Sperl: Yes. I can answer. Just to remind that, the resolution fund started to be filled roughly five years ago, if I’m not wrong. And at that time, it was fully empty and the banks were obliged to fill it progressively each year for 20% to get to the targeted amount. And the last one-fifth of this charge is going to be paid in 2024 based on the balance sheet as of end of 2022. So the end of 2023, from this perspective, was not so important and so material. And that’s why the Czech Banks generally, let’s say, slowed down optimization, i.e., shrinking of the balance sheet, because the leverage is much, much lower and it’s only influenced and driven by, let’s say, a run rate growth of the resolution fund charge. Sorry for being a bit technical, but this was needed to answer your question.
Mehmet Sevim: No. That’s absolutely clear. Thanks very much, Jiri. And can I also ask on the NIM progression from here? I do know that your sensitivity is basically very limited to interest rates, but should we assume, if there are more rate cuts, we’ve just seen, I think, the CNB cutting 50 basis points today, that this stays the same or would you see any additional pressure or any other color you would have on that point?
Jiri Sperl: We are benefiting from the increase of the market interest rates roughly two years ago, when CNB started to increase policy rates. For the time being, we are positioned in a way that we are basically neutral to whatever moves of the market interest rates. So, whatever cuts, whatever speed is not hitting our net interest income.
Mehmet Sevim: Okay. Thank you very much for confirming.
Unidentified Company Representative: The next question is coming from the chat. So, do you expect any material impact on capital ratios coming from new CRB, CRR rules? If, yes, could you roughly comment the scale of such impact?
Jiri Sperl: Yeah. You would think it or I should? He cannot hear you.
Jan Juchelka: I’ll leave it to you, Jiri.
Jiri Sperl: Okay. Okay. Good. Yes. We are expecting a lot of changes. The impact should not be super high and usually even positive. For -- why? Because the majority of these methodological changes are already in our methodologies and regulatory reporting. So for 2024, we are expecting even positive changes coming from the new regulation on LGD’s models. So there are more methodological changes, but LGD and PD models, which should bring a saving of CZK7 billion, which is transposed into the capitalist 24 basis points. And similarly in 2025, when the methodological changes should bring further relief of capital at the level of 100 basis points. So that’s in a nutshell. The key message is that majority of these changes are already in as of end of 2023.
Unidentified Company Representative: Thank you. Next question is from Lukasz Hagenader [ph]. What is your exposure to commercial real estate loans and do you see some risks from this sector?
Didier Colin: I guess, I will take this one. I don’t have the exact figures in mind right now, but the general answer to your question is that, we regularly stress test our exposure to real estate professionals. And that the results of the stress test in the last, as much as I can remember, five years, regularly confirmed the resilience of our portfolio. So there is no real concern that’s regarding our portfolio and its specifics. And the forecast we have from our experts regarding real estate prices in the Czech Republic are also not as adverse as you can see in other markets. So the context is also helping us in this respect. If you need something a little bit more quantitative, I will get it to you through Jakub.
Unidentified Company Representative: Okay. Thank you. Yeah. So let’s get back to relevant questions for a moment. The next one is coming from Martin Jurík [ph] from UBS. Go ahead, Martin, please.
Unidentified Analyst: Thank you for the presentation and for taking my questions. I have two questions, please. The first one would be on the new digital bank. I see that now you have more than 120,000 clients on board to the bank. I was wondering if you could comment a little bit about what you see on the platform, especially in terms of activity levels and how that compares to your larger banking platform, legacy banking platform. That’s the first question. The second question would be on risk for Didier, and I’m sorry if you mentioned that I had some technical difficulties. Could you clarify what is your stance with regards to the inflation reserves and overlays when it comes to 2024 cost of risk? Are you expecting some of that to be released, and if so, what is the condition or the driver of that? Thank you.
Didier Colin: I will start in fact going back very quickly to the previous question, because I got the access to more quantitative elements. So our exposure to the real estate professional segment is in the range of slightly below CZK60 billion, which is more or less 10% of our corporate loan book. The cost of risk average generated by this portfolio in the pre-COVID period was in the range of 20 bps in terms of net reversal and going through the COVID period, we peaked at plus 20 bps. So basically it gives you the level of resilience of our portfolio and exposure towards the real estate professionals. So that was for the previous question to give you a bit more quantitative element. Regarding the inflation overlay or inflation reserve, in fact, those reserves were, as you remember, constituted back in 2021 and 2022, if I remember well. And with the exception of the first quarter of last year, we’ve decided to freeze them and today they are in the range of CZK2.3 billion. And the reason why we’ve decided to do that all the way to 2024 is just by simple prudence or prudential reasoning, and so we, in fact, pushed this question. We decided to push this question to the 2025 horizon. So no impact in the guidance that we just provided for 2024. It’s under the assumption that those inflation reserves would stay more or less at their current level. I’m saying more or less because sometimes going from Q3 to Q4 last year, we adjusted them marginally. It was a small increase, but the general assumption is that it is expected to stay flat in 2024.
Jan Juchelka: If I may take the first question that was asked first, basically about the NDB and the level of activity, I will start by saying that most likely tomorrow we will reach the threshold of 200,000 users of the new platform, which is pretty decent. Looking at the activity, it’s quite comparable to the activity of clients in the old bank, meaning the number of logins and everything else, which I consider to be quite good news because we would normally expect some learning curve from this new solution. And the third thing I would say is, we see quite impressive proportion of end-to-end digital sales in the new solution, ranging around 70% for most of the products, which is multiple of what we have been experiencing in the old bank. So this part looks quite promising at this moment. Is there anything specific you would like to know, I’m basically able to talk about it for hours, which is probably not the point for the moment.
Unidentified Analyst: I appreciate it and thank you for the answer. Actually, just a clarification, this 70% end-to-end digital sales, does that pertain to personal loans, consumer loans, credit cards or what is included in that number? For those features that are already available, 70% is the figure for saving loans, 70% or even 80% is the figure for, sorry, for current accounts. For consumer loans, as we still need to develop end-to-end process for the new solution, we have a small element of assisted part inside. So I can’t give you the figure, but normally, we’ve been able to reach 60% plus in the old bank even. So I expect once we finalize the technical development for this small part in the middle, it will be 60% to 70% immediately after, just because of the nature of the product. What we observe as well is almost 50% of digital acquisition, which was by the way our target for 2025 was 40% and we are already above that, compared to the old bank, where it was just a few percent, somewhere between five and seven usually. And we see quite a high proportion of non-assisted migration from the old bank to the new bank as well, close to 50%, which means that those digital solutions seem to be working pretty well at the moment. On the sample of 200,000 clients, I think, it’s already -- it has a value. So we can already observe something that’s really happening in the new platform.
Unidentified Analyst: That’s great. I appreciate the details. Thank you.
Unidentified Company Representative: Thank you. I will read the next question again for Jiri. Can you comment on the target effective tax rate in 2024?
Jiri Sperl: Yes. Sure. So let’s start with 2023 and last year the effective tax was at the level of 17%, 1-7 percent. For next year we are expecting a bit increase, plus minus plus 2 percentage points to the level of 19%. Why? Mainly due to the increase of the corporate income tax.
Unidentified Company Representative: Thank you. [Operator Instructions] So, Robert Prozac [ph], please go ahead.
Unidentified Analyst: Yes. Hello, again. I have a follow-up question on the capital relief, which I believe you’ve mentioned and unfortunately I had on my side some technical difficulties then. I’d like to confirm that you’re expecting about 100 bps of capital relief by the end of 2025, is that correct? And second, if we’re talking about risk-weighted assets, specifically the market risk, I’m curious what was behind the more than CZK10 billion increase in this risk category, which you registered here during 2025, 2023 of course. It was even more than that -- I mean, it was more than CZK10 billion since the middle of the year, right? Thank you.
Didier Colin: I can take this last question on the market risk RWS. In fact, this increase was generated by some market-making transactions in the area of a CZK rate through some FRAs and swaps. This market-making activity, in fact, in terms of market risk consumption, because of the access to netting was zero. So that’s more or less the underlying activity and it will probably be amount in the course of 2024. So, I would say in one sentence, although, a bit unusual in the sense that we had never had this kind of situation in the past, it still remains business as usual in the sense that we are market makers for these instruments and this was market-driven or client-driven. So, staying in the area of our raison d’etre or mandate, which is agency business and are literally…
Unidentified Analyst: Correct. By…
Didier Colin: Sorry go ahead.
Unidentified Analyst: So, by 2025, approximately, one way or another via the market-related risks, you should see up to 100 bps of capital relief on your capital ratio, correct?
Didier Colin: Correct. Everything else being equal, it’s not even 2025, it’s in the course of 2024. So, everything else being equal, the answer is yes.
Unidentified Analyst: Okay. Thank you.
Didier Colin: And I’ll leave the answer to your other question to probably Jiri.
Jiri Sperl: I think, Didier, you answered almost fully covered. So maybe to be precise, based on our expectations, there are two main positive impacts, mainly in 2025 and both are related to Basel IV methodology. And the first one is relevant for the market risk and the quantification has been done on kind of expert estimates of new methods impact based on history data simulation. And the other one is related to the operational risk, and again, this should be a positive impact of a new SMA first methods impact. So I’m confirming carefully 100 basis points on cumulative basis.
Unidentified Company Representative: Thank you very much. I don’t see any further questions. So if this is the case, let me hand back to Jan for a concluding remark.
Jan Juchelka: All right. Thank you very much for being with us. We hope we have delivered the message today. KB being one of the most important players at the Czech banking market with strong resilience in the type of plationary environment of the Czech economy back in 2023, with strong capability to create new capital by its commercial activities, hence leading us to the considerations and advice and decision of the Board of Directors to propose to the shareholders meeting the payout for 100% for 2023 net results. Having said that, we will keep our activities dedicated to building the new digital bank. 2024 will be the year of delivery and very much tested -- will be very much tested on our part of capabilities to deliver both the retail, where we are speaking mainly about migrations of clients and onboarding new clients and building the first, I would say, core and shell building or construction of the corporate new digital bank. In the meantime, we thank you very much for the attention you pay to the shares of Komercní banka and to what we do, and we are looking forward to the next quarter’s presentation of our results. In the meantime, thank you very much and we stay at your disposal for any questions you would like to raise on bilateral basis. Thank you.
Unidentified Company Representative: Thank you very much. This has concluded the meeting. You can now disconnect.
Jan Juchelka: Thank you.
Jiri Sperl: Thank you. Bye-bye.
Didier Colin: Thank you. Good-bye.
Jan Juchelka: Bye.